Line Dovarn: Good morning, and welcome to today's presentation of Munters Q4 and 2025 Full Year Results. My name is Line Dovarn, and I'm Head of Investor Relations, joined by our CEO, Klas Forsstrom; and our CFO, Katharina Fischer. So Klas and Katharina will begin with presenting the results, and then we will have a Q&A session after that. Please go ahead.
Klas Forsström: Thank you, Line, and good morning, everyone. Let me start with a few sentences to summarize the quarter and the year and then dig into the details then. The year 2025 ended up with a quarter showing the strength of our leading offer across our prioritized end markets. All in all, then resulting in more than 3x organic growth, I mean, over 200%, a book-to-bill of 1.6, I have to say, an exceptional achievement by our teams. Earnings weakened to 10%, primarily driven by dual site costs and underutilization in AirTech, as well as temporary tariffs and transition cost when it comes to moving different products in and out of the DCT system. I'm not pleased with the result, but very confident that most of this will diminish after quarter 1. All in all, 2025 was a year to be proud of, delivering record order intake, solid profit and strong cash flow. It was also a year building industry-leading capabilities to produce, to show stellar innovation and offer buildup paired with improved efficiencies. All this while balancing in a fast-changing world of trade conflicts and wars. I enter 2026 with a positive view on our end markets, strong or slightly improving market demands across our segments. Even better is the momentum across Munters. Innovation is the core of a company, an innovation drive that is reaching a vitality index of more than 50%. Production capacity built for current and future growth, we are able to handle 50% more growth, a modern and forward-leaning digital FoodTech, operational improvements in AirTech and accelerating this into 2026 and an order backlog that sets us up for a record 2026 and beyond. After Q1, when short-term holdbacks will diminish, we are set to deliver a 2026 with historically high turnover and strong margins in H2. In a nutshell, 2026, a year to look forward to. So let's dig in a little bit into the details then. And as I said, exceptional demand while earnings weakened. Order intake, plus 191%, organically 200%. Very pleasing, AirTech also delivered growth with a book-to-bill over 1. Data Center Technology, significant increase. Of the orders received, about SEK 5.7 billion was announced in orders before the quarter report. FoodTech organically declined, some lower software orders, partly offset by controllers, but we also met a very, very strong quarter here. Order backlog all in all, increased with 53%, currency adjusted with 80%. It's mainly DCT and orders to be delivered in 2026 and 2027. And as I said, a book-to-bill of 1.6. Net sales declined. AirTech declined, lower sales in EMEA. As you know, EMEA had a few working days less, but it was a weaker backlog that we had to eat from. DCT increased successful execution on order backlog, but also here in DCT, I mean, we closed for a couple of days, as always, during Christmas. FoodTech increased driven by strong growth in controllers, and that was partly offset by lower software. All in all, for the full year, net sales increased with 8% organically above that. Adjusted EBITA margin, 10% in the quarter. It's the tariffs that represents about 4% in DCT. When it comes to AirTech, lower volumes and underutilization due to weaker battery market that accounts for about 2% units and an adjusted EBITA margin in the year of close to 13%, 12.7%. When it comes to regions, significant variations in between the regions. Americas stands for 86% of our orders in the quarter. EMEA, about 11%; and APAC, 4%. Of course, it is DCT that stands out with 95% orders in Americas. But also very good to see 5% of the total orders in the quarter came in Europe. So we start to see a European data center market that is starting to grow, and we are taking our share in that. And then when it comes to FoodTech, a more, call it, normal balanced quarter. All in all, we look upon the quarter, AirTech, soft with pockets of growth pretty much in all the different regions, but clear signs of especially the base business, 95% of our business starting to show some growth moving forward. Data Center continue to rapidly expand in Americas. It is a smaller market in Europe, but we start to win here in a good way. And then when it comes to APAC, a good market outlook, especially in Southeast Asia and the Oceanic region. And FoodTech, very much a continued positive market as such. Moving into AirTech, a book-to-bill of 1.1. Order backlog stable. Pleasing to see that the order backlog did increase. And as you can see now, when it comes to the orders, about 90% of the -- in the year is outside battery. So it is a sign that we now are moving into capturing orders in a stronger market that is outside of battery. And here, I think it's very clear. This quarter is order intake-wise, one of the best, I would say, the best quarter in the last 8 quarters with one exception. And if I take a look upon outside battery, it's for sure, the best quarter in the last couple of years. Also important to see here, as you can see, there is an up picking trend the last couple of quarters. And so that is the reason why we are saying it is a market that seems to become stronger and stronger. When it came to net sales, a lower outcome due to -- and that resulted in a lower profitability. All in all then, something that was very good to see that is the share of service, 23%. And when it comes to components, 19%. Here, we have a shift in components then. So we have more evaporative pads than what we have then desiccant wheels. When I look upon our innovation pipeline, and you have heard me say that we have a vitality index of more than 50% now. I think this is an important slide to talk about. When it comes to AirTech, AirTech is exposed to many different end user segments. You drive energy efficiency and customer value to primarily 2 different components here. It is material science and technology leadership when it comes to the media. And then it is how you use and how you control your equipment. And if I take a look upon this, I mean, what I see that is the material science and the new media gives opportunities for customers to increase -- improve their energy efficiency in between 10% to 20% compared to old versions. And if we take the connectivity and using artificial intelligence and better controlling the setup, it is a similar value, 10% to 20% more improvements. And if you combine this, I mean, then you can have up to 40% energy efficiency. What is also clear that is that in some of the underlying segments there as pharma, defense, and service, I mean, we see a continued upgrade and higher demand coming forward. Also important to see that is when it comes to what we call clean technology, air quality and pollution control, we also see a strong underlying market as such. Moving over to Data Center, an exceptional order intake in the quarter. Demands across both colocators, hyperscalers, very much driven by artificial intelligence-related investments, but really across the full type of board. We announced orders of SEK 5.7 billion, and we reached SEK 9.2 billion in total orders. The order backlog increased. And here, we talk about deliveries into 2026 and then carry into 2027. The book-to-bill in the quarter was impressive of 7%. Also, what I think is important if you take a look upon the circles there, I think that exemplify the product transition that is taking place. The 38% where we have the split system that is represented in the past, very much by cycle in the future, very much of split system based on, as an example, on chillers. Now we are building up chiller capability. And when chiller capability are then increasing that we can produce it more in an industrial way, the chiller profitability will increase in the same way as we showed with cycle. The main effect of the margins in this quarter came from tariffs. And here, we deliberately decided that it's better to take market share, establish ourselves in U.S. even before we have full-fledged production of chillers in U.S. If I would bring that back, I mean, we would be in a range of around 18%. And if I then add also the changes in the product mix, et cetera, I mean, we would be in the 19% range. But all in all, I mean, I'm very confident moving forward that we will continue over a period, over a year to be in the high teens range. But this and also next quarter will be affected by tariffs. We are filling up the order backlog, and we are building up capacity. And capacity you build up by building factories, driving efficiencies, driving the way you produce, but also how you interact with the customer, how you preplan, how you actively secure critical components and so on. And if I take all that then on the right side here on the slide, that we have now capacity to be able to take 50% more orders moving forward, and that gives me very good confidence. Of course, it varies in between the different factories. In some factories, we have not much more to gain. In other factories, substantially more to gain. This is also why I say that with this backlog, I mean, I'm extremely confident that we will have a strong invoicing year in Data Center. And what type of products are we then bringing in? I think the best way to describe it, that is across the board. Some cases, it is more dedicated CRAHs, custom-designed CRAHs that have high efficiency. In other cases, it is chillers, and yet other examples, it is more what I would call it hybrids where you combine chillers, custom-designed CDUs and CRAHs. And for me, that is the strong point of Munters today. We can cater all different type of product demands and all different types of cooling demands there is in the market. Also very pleasing that we took a sizable order in EMEA that includes Geoclima chillers and CRAHs. And this puts us in a very good position also for a strong fill rate in our EMEA factories. On and off, I and we get questions about, I mean, what is driving then the success in Data Center and how -- what about the market. You've heard me talk very much about, I mean, we have evolved from being a niche specialist to now having a comprehensive, very wide cooling portfolio that can expand into many different type of data centers. That has been driven by the innovation engine, innovation through own innovation and combining with acquisitions that we then have brought into the system. We accelerated the time to market for next-generation cooling systems. And I think that we have at current and a world-leading time to market when it comes to new systems. We have also in parallel, strengthened the service setup. I mean, with own personnel, but also contractors and partners. So gradually, we are expanding the service coverage also. Capacity. We have built up capacity, and we never take and accept orders that we cannot deliver on promise. We have been building capacity ahead of the plan, i.e., that generates some cost in the beginning, but we have also proven that when we have a scalable footprint, we can also generate the bottom line. And then the discussion about what type of cooling solutions are there and what is then affected cooling. I think you have to come from 2 perspectives. First, you have to have very dedicated type of data center cooling setups, but then you also have hybrid readiness. In the very best liquid cooling data center, there is still need for in between 20% to 25% air cooling. So you need to have the [ width ] on this. So all in all, I think we have an extremely strong platform for continued growth and profitable growth moving forward. If I go back to FoodTech, the first thing I think is important to recognize here that is we have completely shifted what FoodTech is now compared to a year ago. Now it is 100% digital and software-driven. There is when we have increased the number of controllers or the sales of controllers still a seasonal effect that the controllers are sitting in the farms, et cetera, et cetera. So in quarter 4 and quarter 1, there is a weaker controller demand. But all in all, it is a more stable business area compared to the past, a strong market outlook moving forward. Margin remains strong. What affected margins was our continued investments to support growth, a shift in products that we have more controllers this quarter than we had software. And then on the positive side, price increases and efficiency initiatives. But all in all, a strong underlying margin. I predict that we will continue to grow over years in between 20% to 30% when it comes to the ARR this quarter, slightly lower, but that is very much due to the comparables of last year. For me, this is one of the most important pictures of the future in FoodTech. It is about the full value chain, a data-driven connected supply chain. Our products and solutions are very much focused on the growth segment, where chickens, the swines, the animals, the plants are growing. But it is also handling data and help the customer manage the full value chain. And this is something that is extremely sought after. Of course, it takes some time. If you start in the middle, you have a unique offer there, combining controllers with software, it takes some time to sort of expand out in the full value chain. But what I see that is that our customers are very attracted to this. And if we talk about the software side, churn, low churn is important, and we have a very low churn, about 2% and below. And then, as I said, the ARR then expected to be in between 20% to 30% year-by-year. This quarter, a little bit lower due to very strong comparables last year. With that then, I leave it over to Katharina.
Katharina Fischer: Thank you, Klas. So starting with the fourth quarter, net sales declined 8% or remained flat currency adjusted, primarily reflecting the lower volumes in AirTech. The adjusted EBITA margin declined, and this was mainly due to the temporary tariff effect in Data Center and the lower volumes and underutilization in AirTech. Net income declined, and this was due to the lower operating earnings, but also due to the increased items affecting comparability in the fourth quarter. They amounted to SEK 174 million. The driver of this was a contingent consideration of SEK 98 million due to recent acquisitions. So this was mainly related to the 20% holdback of the transaction price for the acquisition of the remaining shares in the MTech Systems, and that was closed in March. 2025. And this amount then has been paid in full now in January this year and was fully accrued at year-end then. Looking at cash flow was very strong. I will come back to that later on. Sorry, I should also say on the items affecting comparability, we also have restructuring charges of SEK 77 million. They related to AirTech. And here, we are progressing according to plan on the cost measure activities that we announced in Q3. If you recall, we announced then that we will take a charge of SEK 150 million in total over Q4 and Q1. We also had a very strong operating working capital to net sales ratio in the quarter. It improved further. So that reflects our strong discipline in this area. Looking at the full year, net sales increased 8% or 15% currency adjusted. And this was then driven by the continued strong growth in Data Center and FoodTech and partly offset by a weaker development in AirTech. And the adjusted EBITA margin declined due to lower volumes and the continued dual site cost and underutilization in AirTech as well as the tariffs then in Data Center. And also for the full year, the net income declined then for the full year due to the lower operating earnings and the increased items affecting comparability. And this continued considerations effect was then almost SEK 200 million for the year then. And also, as I said, very strong operating working capital. Then looking at the margin, the margin declined in the quarter. While this was below our ambitions then, it was due to temporary effects such as the tariff impacts and the lower volumes and utilization in AirTech. The volume then had a negative impact, but mainly due to AirTech in EMEA, partly offset then by DCT and FoodTech. I'm very glad to see that we continue to have a positive net price impact, both in DCT and FoodTech. However, the margin was negatively impacted then by the temporary tariff headwinds in DCT and also a negative product mix across all business areas and also an adverse regional mix in AirTech. From the operational excellence perspective, the under-absorption in AirTech weighed on the margin and also the transition to new products in Data Center had a negative effect on the margin. We continue to invest in our business, of course, to scale the business and also to digitalize further and automate and also do more investments in the footprint. If we compare to the Q3 margin of 13.5%, the margin then declined, and this was the -- primarily drivers for that was the increased tariff headwinds, but also lower volumes and changes in the product mix. In addition to this, we also had currency headwinds, which impacted the quarterly results then negatively. Looking at the cash flow. We had a strong cash flow from operating activities in the quarter. So even though the operating earnings were lower, we were able to offset this with positive contributions in -- from operating working capital, and this was mainly driven by advances in DCT. In the investment activities, we had an impact from business acquisitions. So these were then retention payments or holdbacks related to acquisitions of Geoclima and AEI, which were closed during 2024. So there were some remaining payments for those 2. And then we have also bought the remaining shares, 40% in the Brazilian company, InoBram. Looking at year-to-date, we have a stable cash flow from operating activities, a little bit lower, but due to the operating earnings and also a less favorable development in working capital for the full year. Looking at cash flow from investing activities, it was impacted by lower CapEx and also lower cash flow from the business acquisitions during the full year. Looking at investments then, our capital allocation principles remain disciplined and selective. So we continue to focus our investments where they create sustainable growth and also create long-term value creation. And in the quarter, the ratio was 7%. So this reflects a higher level of activity then where we continue to invest in competencies, upgrading operations, doing more digitalization and optimization in our business. For the full year, this number was 5.8%. Looking into 2026, we continue to invest in DCT footprint and the Virginia production facility, including the test lab will be up and running in the second quarter of this year. And efficiency improvements and volume ramp-up will take place gradually, of course, and with the main improvements to be seen in the second half of the year. Looking at CapEx for the full year, we expect it to be -- remain broadly in line with the full year number for 2025. Operating working capital, then as I mentioned before, very strong number if you look at the chart there, so at 7.3%, right now. If we look at leverage, the leverage ratio remained stable at 2.9 compared to Q3, slightly up, reflecting lower operating earnings. However, we had this very strong cash flow, which then enabled us to manage this acquisition-related payments during the quarter. And if you compare to the leverage at the end of Q4 last year, the increase is driven by increased lease liabilities. While we do not have a fixed leverage target, we do have an ambition to be within 1.5 and 2.5 over time. And we are not worried by temporary deviations above this level as they are then related to strategic investments that support our future growth and also increase our competitive position. Diversification of financing and strengthening our funding base is, of course, also important. During the quarter, we have issued a bond of SEK 400 million, and we have also increased our outstanding commercial papers. Also want to highlight then that during the first quarter now this year, we have then paid the remaining -- the holdback 20% for MTech, USD 18.5 million. So that payment was done in January this year. Turning to sustainability then. We continue to have a very focused agenda that we execute diligently on, that spans across climate, social aspects and responsible business practices. And if we start with climate, we -- during 2025 inaugurated our new flagship factory then in Amesbury in the U.S. And if we look at our ambitions for 2030, our Scope 1 and 2 for the year increased 3%. And if we look at Scope 3 emission intensity, it increased with 19%. And this increase in Scope 3 was related then to higher activity in regions where the emission intensity is higher and also a different product mix. But of course, this highlights that we, as many others, need to continue to focus on delivering on our decarbonization road map. And in parallel, we also continue to develop products that are more energy-efficient products and services, and we also work with our customers to find renewable energy solutions. Looking at gender equity, here, our ambition is very clear. We want to achieve the 30% of women leaders and women in workforce, and we drive many different initiatives linked to this, where we have and support inclusive employee networks. We also drive initiatives to promote interest in technology-related fields and so on. And we also aim to broaden the talent base through very focused training programs and defined goals. On the responsible business side, we are aligning with the CSRD, and we are, of course, also preparing for the upcoming CSDDD. This is then underpinned by us continuously upscaling our workforce, where we have many different trainings in human rights, anticorruption and related topics. And of course, this is very important with this training programs because we really want to make sure that we have consistent standards in our day-to-day decision-making across operations and our supply chain. And then finally, you know that we have the service and components ambition to be above 1/3 of net sales. And during the full year, this net sales grew organically, and we achieved a percentage of 25%. And with that, I would like to thank you and hand it back to you, Klas.
Klas Forsström: Thank you, Katharina. Here and also take a look into the future before we open up for Q&As. The year, we ended up on a growth of 15% on an EBITA margin of 12.7%, on an operating working capital through net sales of 7.3%. In the quarter then, not much growth adjusted currency and an EBITA margin of 10%. And of course, it is the same number when it comes to operating working capital. The Board is proposing a dividend of SEK 1.6 per share moving into the general meeting then. From this quarter, we have started to give outlooks. If we start then with a status, where are we in the different business areas. First of all, I mean, the efficiency programs that has started and are driven in AirTech delivers plus SEK 100 million in this year. The second program that we announced mid this year is aimed to delivering between SEK 250 million to SEK 300 million run rate by end of this year, and both programs are operated according to the plans. We have also improved the capacity utilization step-by-step by reallocating our sales force to what I prefer to call the base business, i.e., all the business that is less project-driven, less battery driven. And here, you can see that we are gradually then increasing that type of business. When it comes to DCT then, you have heard me talk about our success in broadening our portfolio by own developed and acquired type of portfolio components. We have invested and increased our global footprint, both when it comes to production capacity, but also when it comes to sales capacity. And we have then delivered a record order intake that takes us for sure through 2026, well into 2025 and actually also are touching already now 2028. When it comes to FoodTech, we have completely transformed this. It's now a fully digital offer. It is an offer that no one else in the market has, and it generates a lot of attractions from customers. We have entered new regions, and we have been growing the share of recurring revenue step by step. If I then move to the market then, and this is how we look upon the market for the full year 2026. In AirTech, with all the different segments, it is flat to a positive market. And the positive sign that is, of course, in everything outside battery. And today, everything outside battery represents pretty much close to 90% of what we sell. So flat to positive. In Data Center Technology, we predict a continued positive market demand for the year. But of course, and I highlight this, it is extremely difficult to predict how much order intake will come quarter-by-quarter, but we see still a very, very strong underlying market. No changes there. And when it comes to FoodTech, continued a positive market outlook. Business then outlook for the year. First of all, it is clear that our net sales growth is expected to develop positively. And I said, I expect it to be a record year on invoicing. And how to substantiate that? If we take the backlog in Data Center, at least 30% more invoicing will come. With the right customer demand, it could be as high as 40% increase in invoicing. And then a slightly increase also moving into AirTech supported by a better order intake. When it comes to adjusted EBITDA margin, after Q1, we expect that it will diminish the tariff impact in Data Center and the margin improvements in AirTech will start to pay off. So you can look upon this year, a little bit reverse to last year, i.e., a substantially better H2 than H1 when it comes to adjusted EBITDA margin. All in all, I mean, this sets us up for a very, very exciting 2026. With that, Line, I hand it over to you and everyone on the call for Q&As.
Line Dovarn: Thank you, Klas and Katharina, for presenting. [Operator Instructions] So we'll begin with a caller from the telephone conference.
Operator: [Operator Instructions] The next question comes from Adela Dashian from Jefferies.
Adela Dashian: Two questions from me then. The first one, obviously, you had very, very strong order intake in the DCT segment, and it would be great to try to understand whether or not this is timing-related lumpiness or if you expect this to be a sustainably higher run rate given all the AI deployment. We'll start there.
Klas Forsström: Thank you, Adela, for the question. I think it's fair to say, as I said many times, I mean, by nature, Data Center order intake is lumpy. This quarter, I think everyone understands that this was an extraordinary quarter. With that said, what we have done over the last couple of years, that is we have expanded our product portfolio, and we have expanded our capabilities to sell in many different regions. So from that perspective, we have more opportunities to gain customers, to gain attractiveness. But I think you should look upon this as an extraordinary quarter. Don't expect this to be the new baseline, so to speak. But with that said, I see, we see a strong underlying market in data center.
Adela Dashian: That's really helpful. And then if I stay on the DCT track, but move to margins, you're outlining here a path to get back to mid-teen DCT margins as the tariff headwinds ease and also volumes ramp up from the second half and onwards. But does that margin trajectory fully reflect the incremental investments that you might need given the elevated backlog?
Klas Forsström: Yes, it does. I can very confidently say that we -- when it comes to production capacity, we have constantly been investing ahead of the curve, so to speak. And this we have done also this year. And we could have taken a decision not to take orders and sell and deliver, call it, chillers in North America and thereby avoided the tariff hit. We deliberately decided that it's so important that customers are exposed to our fantastic chillers and thereby then securing the orders that will be delivered after we have the production setup here. So if I take a look upon, I mean, the, call it, the margin development and just ballparking it out, I mean, we have a 4% when it comes to the tariffs. That will diminish after Q1. And then we also have the very logical setup when you start to produce something new, in this case, chillers in North America, I mean, you will gradually then move the margins up on that. So from that perspective, if I take a look on the full year, that is why I say that when it comes to DCT, it is, of course, a very strong delivery of top line and also a restored profitability in DCT for the second half of the year. And when it comes to AirTech, the easiest way to describe it is by adding some volumes that we are at current and by cutting out the costs of the SEK 250 million to SEK 300 million, we will step-by-step restore that margin as well.
Adela Dashian: Just to clarify quickly, I guess the question -- I appreciate all the color on the near-term outlook or the 2026 outlook. But I guess my question is also more related to medium term or long term. Do you feel like high teens is still sustainable even as your backlog grows. Okay.
Klas Forsström: Yes. And also here, I think I said it loud and clear that we have the operational footprint of handling 50% more order intake. What we need to then, of course, adjust that is man hours that is -- but that is in the larger scheme just adjustments, if I put it like that.
Adela Dashian: Great. That's the number I was looking for. I'll get back in the queue.
Line Dovarn: We can take another caller.
Operator: The next question comes from Karl Bokvist from ABG Sundal Collier.
Karl Bokvist: A follow-up here a bit on what you've already talked about. But would just like to understand the time line of events that hold back the margins here. So one thing that we've talked about, of course, were the tariffs in DCT. But the dual side factory situation. You said it was complete by year-end '25, i.e., this is something you have alluded to how much it has impacted margins. But should this be now entirely out of the margins from Q1 '26?
Klas Forsström: I mean, as I said, I mean, we have completed that. And then, of course, when you start it up, it will have small impacts also in the startup process. But the majority of that has disappeared, yes.
Karl Bokvist: All right. Understood. And then also on the just general industrial improvement here, is there anything in particular that you would highlight here within AirTech, I'm talking about now, whether or not it's just about hesitancy becoming -- with customers seeing a bit more clarity on their investment decisions? Or is there any particular -- any other kind of trigger that you see would really make this area start to improve again?
Klas Forsström: But it's a very good question. And if I sort of then take it region by region, you can see a openness, improved, call it, market across all the different segments. In Europe, we see in, call it, the base business and improvements in the outlooks, and I give you a couple of examples there. We can talk about restoration. We can talk about defense, et cetera. There, we see a stronger order intake. Here, we talk about, of course, many smaller projects, not the large projects. And in North America, what we see there, that is still a hesitancy, but the order backlog in all 3 regions are moving up -- or sorry, not order backlog, the pipeline of orders are moving up. So normally, when you see that at a certain given time, then you start to open up. So that's the reason why I'm positive. I don't see, yes, now it is substantially better, but it's a stronger market in the non-battery market across all regions.
Line Dovarn: And we will take another caller from the telephone conference.
Operator: The next question comes from Carl Deijenberg from DNB Carnegie.
Carl Deijenberg: So a couple of questions from my side. I just wanted to maybe start on the phasing on the invoicing. Of course, I heard your comments sort of on the full year for '26 expectation and also the ramp-up towards the latter part of H2. But when we go now into Q1 is just from a sort of revenue standpoint, is that what you're seeing now a similar level to what we saw in Q4? Because, yes, it sounds like you're going to have -- facing the sort of similar issues now very near term. So is that a...
Klas Forsström: If I put it like this, I mean, we will have the chiller production fully up and running in U.S. after Q1. So the big increase of deliveries in U.S. will, of course, start to come from Q2 and forward. And then during the year, that will then quarter-by-quarter increase in progression. The first quarter, we had pretty much the same setup as now. So then it's more driven out what type of demands, when would customers like to have certain deliveries, so to speak. But the best, call it, guidance that is we will have a full-fledged production in U.S. from Q2, and then we will definitely increase the deliveries.
Carl Deijenberg: Great. Then I wanted to also follow up a little bit on the large orders you have announced here in Q4 '25. I know that some of them have been announced in Swedish krona, whereas a couple of other ones have been announced in U.S. dollars. So just wanted to understand a little bit sort of currency structure you're taking on, let's say, currency risk in between those 2. I know that you have a very local cost base in the U.S. But how does that work with the orders that you've announced in Swedish krona now given the currency movements?
Klas Forsström: I can start, and then I can also hand it over to Katharina. But if you take the current currency exposure is on and about depending on the different business areas in between 7% to 11% and the highest then is in Data Center. Then if you take a look upon the order intake situation, we have an extremely high then currency effect, but that is pure mathematics. I mean, you have a low comparison and then you add an humongous large order quantity on top of that, and then it becomes, I mean, 11% on a very high number becomes a large percentage on the lower number, if I put it like that then. But if I then summarize it, you can say, as long as we deliver from Europe to U.S., then we will have a currency effect. But when we start to deliver from U.S. production, I mean, U.S. dollar is the U.S. dollar. So then the exposure in U.S. dollar will disappear because then we balance it off, if that made sense. Katharina, any more favors on this then.
Katharina Fischer: No, but the U.S. contracts are in U.S. dollars. And yes, we have most of our cost base in U.S. dollars as well.
Carl Deijenberg: Yes. No, the reason for asking was just that I noted that some of the large orders were announced in Swedish krona.
Katharina Fischer: Yes. It's just the way that we announced it in the press release, Carl, so the order is taken in U.S. dollars, but it's just the way we have chosen to announce the results. It's taken in U.S. dollars.
Carl Deijenberg: Perfect. Then finally, I also wanted to ask on AirTech. I heard your comments what you're talking about sort of the mix change that you've seen this year measured in battery becoming a smaller part. And of course, you've taken quite a few sort of measures now on production and utilization and so forth. And I just wanted to understand, we've seen in the past that this battery contract that you took back in '22, in particular, were quite profitable for the division, whereas now you're sort of entering '26-'27 with a little bit of a different, let's say, end market mix. And on the back of the changes you've done here on the production and utilization side, is it still a material margin difference in battery relative to other segments? Or is that more balanced now, you would say?
Klas Forsström: I have to give you a little bit lengthy answer, and then I will sum it up. Generally speaking, the non-battery side has always had a slightly better margin than the large batteries orders. With that said, when you have a very large battery orders and you take another large battery order, then you set up a production system, so you have, call it, volume effects, so you can bring out a higher margin on that side. So if I then go back to service, components and base business, in general, product margins have a higher margin than the larger projects. But then, of course, if you can fill a factory and deliver like we do in Data Center, then you have volume benefits on that then, if it makes sense. So moving forward, I see that if we have a couple of quarters in the range of the SEK 2 billion that we have now, I mean, then we will have a good load of factories and a good way forward. And that will most probably be filled more of what I referred to general base business than battery projects.
Line Dovarn: And we will take another caller.
Klas Forsström: Yes. Yes. Yes.
Operator: The next question comes from Gustav Berneblad from Nordea.
Gustav Berneblad: It's Gustav here from Nordea. Just coming back a bit to the tariff situation there of 400 bps. How much -- I mean, how much would you say that you're able to offset with the new production line of chillers in Virginia, meaning sort of looking at H2 2026, if we say sort of ballpark, is it fair to assume closer to 1 percentage point tariff headwind? Or is it less? Or if you can just comment a bit.
Klas Forsström: And now I think when it comes to tariffs, let's start with a little bit of a joke and then I will come. Tariffs have a tendency to change depending on the President's mood. But if we take as an assumption, nothing is changing. If we take that as an assumption. I mean, the tariffs are built up by 2 components. One is if we deliver a full-fledged system to U.S., which we are when it comes to chillers, I mean, then what we have, that is, first of all, we have the general, the 15% tariff. Then there are other tariff components that is steel as an example. And then you have to add another tariff ingredients on that then on the steel part in what you have. When we start to produce in U.S., I mean, the first component is gone. Then the second component will be more or less gone due to the fact that if we can then supply with U.S. steel, et cetera, I mean, then we will have no effect. But if we need to supply as all other U.S. companies have to supply then steel outside U.S., I mean, then we have a tariff component. But if I sort of summarize it, everything will not disappear after Q2 because there is a little bit of residual. But if we follow our plans, the very large majority of this will disappear in H2. Am I fair to say that, Katharina?
Katharina Fischer: You're exactly right.
Gustav Berneblad: Perfect. That's very clear. And then coming back to the cost savings program in AirTech there. I mean, can you just give us a bit more nuance on how we should interpret this in terms of what you're actually doing? Is it mainly personnel and we will see a sort of a front heavy or more front-end loaded cost savings? Or how should we think this progressing in 2026?
Klas Forsström: No, I've been talking so much. Maybe I hand this over to Katharina here.
Katharina Fischer: For the program that we announced then in Q3, the one that to deliver SEK 250 million to SEK 300 million in savings, that will start to come into play already in the first quarter. So that program is progressing well to plan. Then there is a second part of that program that will come into play more in the second half.
Gustav Berneblad: But is it possible to say anything if it's the weight of the cost program is more tilted towards Q1 here or H1 or?
Katharina Fischer: Yes. I mean, towards the end of the year, it will be the full run rate, so to say, but it will start to build already from now.
Klas Forsström: So you can put it a little bit like this. I mean, everything that has been executed by end of this year, I mean, that will month by month add up. And then you will have a second go, put it like that, that will start to add up from mid end of Q2. And then those 2 streams will then accumulate up to the total of SEK 250 million to SEK 300 million.
Line Dovarn: We can take another caller.
Operator: The next question comes from Anders Roslund from Pareto Securities.
Anders Roslund: Yes. I have just one question regarding the margin in DCT in the fourth quarter. If adding back the 4% for tariff, is this relatively well reflecting the new product assortment? Or is it parts coming from the high-margin cycle and less? Or what sort of...
Klas Forsström: I mean it's a very good question. And so the easy thing to deduct, if I call it like that, I mean, that is the 4%. That is just the way it is. Then we have other minor components, and that is, as you referred Anders, we have the shift in the product portfolio, the mix. That then brings down its slightly, let's say, 1 bp, 1% more or just to take a number there. Moving forward, if you keep the 4% then at the end of next year, that is gone basically then. Then what -- the way you should look upon this, that is when we then are ramping up the chillers, then that will gradually then improve a positive product mix by the end the second half or starting, I mean, mid-quarter 2. So you will have a little bit of cycle effect, but then let's call it the chiller effect then when that is gradually then moving up in margins. So in the beginning, now we have a negative product mix. And at the end of next year, you can sell relatively said, you have a positive product mix.
Line Dovarn: But there's no cycle left in Q4 in the deliveries. Those have been completed.
Anders Roslund: Okay. Excellent. And how do you see in general, you only talk about chiller production, how is the production ramping up for the other product categories? And how will that affect margins?
Klas Forsström: That is -- if we take a CRAH as an example, there are some variations in between the CRAHs in margins. I mean, when you have a high density, high capacity CRAH, you have slightly higher margin. But CRAHs, as you know, look upon them as, call it, slightly lower margins, but a stable margin. A CRAH is CRAH, and we are good in producing that. So that is just adding up. And then, of course, if you produce 100 and then 200, you are a little bit better. But call it, not that much efficiency, more in between an efficient or, call it more a me-too type of CRAH. But there, I mean, there, as I referred to earlier, there you can say that has been the negative product mix at current that we are selling more CRAHs than versus cycles. Moving forward, I mean the CRAHs will be at a stable level, and then it will be a larger mix of chillers then. I hope that was -- well enough described.
Anders Roslund: Excellent. No, that's okay for me.
Line Dovarn: And I think we have another caller.
Operator: The next question comes from Mats Liss from Kepler.
Mats Liss: Well, looking at chiller production there in Italy, and I guess you will sort of move part of that sourcing to the U.S. gradually during the year. But what will happen in Italy? Will that capacity come down until you get sufficient amount of demand in the European market? Or could you sort of -- say something about...
Klas Forsström: But It's a very good question, Mats. We are also gaining traction in Europe of chillers. We are actually also at current and there, we have no tariff effects. We are, to some extent, supplying Asia, from Europe. So without being -- because I cannot be too specific, but I don't see any, call it, overcapacity or worries that we will have not good enough coverage in our factories in Europe. When we have production up and running in U.S., I mean, not from day 1, but in a quarter, everything after a quarter that is sold in U.S. will be produced in U.S. if there is not a specific, call it, emergency that we need to supply it in between. So we will have a strong base capacity in Europe for Europe, but also towards Middle East and towards Asia.
Mats Liss: Great. And I guess it sounds like you experience this very good demand in Data Center segment going into 2026 as well. And I just want to -- well, get a feel for, do you see customers maybe placing dual orders here to secure supply? Or is it sort of not possible for them to do that? Or could you say something in...
Klas Forsström: I mean when you take a look upon the extraordinary order size we had in Q4 then and then take that into when will that be delivered, so to speak, will be delivered during 2026. I've said like this, I expect a turnover of plus 30% and maybe a turnover increase of plus 40% depending on customer preferences of deliveries in Data Center during the year. But then a large part of this SEK 9 billion order is also moved into 2027. And actually a few of those are moved into 2028. So I have never been this comfortable when it comes to the load situation in data center. '26 done. We can take some more. We have availability. But as you know, I mean, after Q1, it's not very much you can fill there. And then we have a good situation already now for '27. And there, we have at least 5, 6 quarters more to go when it comes to fill that up. And we have already started to fill 2028. We had a book-to-bill of 7x in the quarter. Is that prebooking? Or is it, call it, just customers that would like to have a relaxed situation when it comes to will they have it or not? I cannot say that. But that is how it is. We are well covered into 2027 and actually also into '28 to some extent.
Line Dovarn: Thank you. I think we have Karl back on the line. We can take one question for you and then we have to finish off.
Operator: The next question comes from Karl Bokvist from ABG Sundal Collier.
Karl Bokvist: All right. So just a comment there on what you see ahead on the growth there. I assume this is talking about current prevailing currency rates, i.e., organic or assuming existing currencies, on the sales growth from the backlog to 30% to 40%?
Klas Forsström: Yes. I mean what we reported, that is in, call it, year-end currency rate. And then currency move up and down, but you can say that the majority of what is currency neutral in a way that it is sold in U.S. and the majority after -- or pretty much all that will be produced after Q1 sort of everything that will be delivered after Q1 will also be produced in. So you may have a top line effect there, but you will not have a bottom line effect.
Line Dovarn: Thank you very much. I think, we will finish off there. Thank you, Klas and Katharina for presenting today.
Klas Forsström: Thank you. Thank you very much.
Line Dovarn: Thank you, everyone, for listening in. And please feel free to reach out to us at Investor Relations if you have further questions or if you would like to meet up with us during the quarter. So thank you for listening and see you next time.
Katharina Fischer: Thank you.
Klas Forsström: Thank you.